Operator: Ladies and gentlemen, thank you for standing by. Good afternoon, and welcome to the DMG Blockchain Solutions Q3 Update Conference Call. At this time, all participants are in a listen-only mode.  Participants on this call are advised that the audio of this conference is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of the call will be available approximately one hour after the end of the call. I would now like to turn the call over to Jules Abraham with CORE IR, the company's Investor Relations firm. Please go ahead.
Jules Abraham: Thank you, Chad and good afternoon everyone. Thank you for joining us for the DMG Blockchain Solutions shareholder update conference call. Joining us today from DMG Blockchain Solutions is Sheldon Bennett, the company's Chief Executive Officer. During this call, management will be making forward-looking statements including statements that address the DMG Blockchain Solutions expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in DMG Blockchain Solutions most recently filed periodic reports and the company's recent press releases, particularly the cautionary statements within. The contents of this call contain time sensitive information that is accurate only as of today September 01, 2021, except as required by law, DMG Blockchain Solutions disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It's now my pleasure to turn the call over to Sheldon Bennett, Chief Executive Officer of DMG Blockchain Solutions. Sheldon?
Sheldon Bennett: Thank you. Glad to be back. As many of you know, DMG, this is the second time we are doing a call after our financials. I did the first one with Jules last quarter. We're into our second time doing this. We're trying to work some of the things out. It's been a long day. Many of you that follow the company closely may have seen me once or twice a day already on Benzinga as I did a panel with some other crypto miners, as well as have a presentation about DMG and then sort of an update to our strategy, that presentation and our corporate strategy, which is within that presentation we're hoping to get uploaded onto our website and we'll have a fresh new presentation on the investor section of our website. As the last time, I have sort of four parts to the presentation today. The first part is just the general corporate overview. After that, I move into a bit of discussion with financial results. Then I move into the outlet -- outlook. What we see are the big things that are happening in our company and the business, and then we move into the Q&A session with some questions that we've received through different medium that we've pretty much answered regardless of the questions or not. So just on the part one sort of the general overview, and in terms of financial performance. So I'll do two parts financial performance and operational performance, and these are sort of some of the bigger things. The first is the company revenue over the nine months has increased, not huge. It's only by about $815,000, quarter-over-quarter it's down. And I'll talk to that in a minute. But we do have a nine-month increase in revenue over last year. The increase is mainly attributed to some software licensing as I spoke about last quarter, as well as some increased revenue in hosting. Although, this will decrease significantly in the future as I will explain during this call how we are moving from a hosting to a self mining model with the arrival of more and more our equipment that we've ordered. We have a net loss increase as well over the nine months of a $6.6 million. Again, the net loss is really what I consider a paper loss, mainly due to an increase of unrealized losses on digital currency of about $4.6 million. Again, we'll talk about that in a minute and an increased shareholder base compensation about $2.2 million. Again, these are not cash out of our bank. These are unrealized losses. Net cash flow outflows are higher for the period compared to last period. And that is mainly because being a large deposit for equipment on order. And we'll go through that in a bit more detail. And so from all of this, we have a revenue loss or not a loss, but decrease from $2.5 million last quarter to $1.7 million this quarter. And this may not look good, but actually it's not a bad thing. And I'm going to tell you in a few words why. Most people will say, well, revenue going down as a bad thing. We're investing in companies that are going to grow the revenue and grow their business, and we are. And one of the reasons our degrees and our revenue has gone down is that we've actually given notice to many companies that host with us and having the hosting with us, to have them move to a different hosting area and to clear out and make room for our equipment that we bought, as everyone is aware of self-mining needs is very lucrative. And there was much more profits for DMG and self-mining. So, we've been moving and shifting our past hosting from sort of 80% hosting, 20% self-mining over to 20% hosting and 80% self-mining. Now, many of you may have seen a recent press release where we talked about 2000 miners coming in from a client. This is a strategic partnership. Unfortunately wouldn't let us name they are, but we will only be doing hosting of things that are very strategic for the company. And we'll keep a little bit of that, but in general, we will be looking at using the Christina Lake as a data center for DMG mining activities in self-mining. So, I just want to clear that up. In order to make the room, we will have -- you end up with a month or two of less hosting revenue than we were expecting before knowing when our mining would arrive. As well, we've started showing some growth in software licensing. This is mainly Mara Pool. This is actually working quite well, quite happy with what's going on with Mara Pool. And I would like to just highlight that our balance sheet is very healthy. The company has extremely strong working capital with over a hundred million assets, $47 million in cash, $31 million in long-term deposits, which is mainly our deposits on miners to be delivered, $12 million in property and equipment and around number $11 million digital assets. And just on the digital assets, as many people know we bought a large amount of coins, as well as the coins that we mine. Following the volatility of Bitcoin at the end of Q3, we had 257.72 coins, which was worth about CAD$11 million. And that's tune in price of US$35,937, or about CAD$44,500. When you take a look at those coins that created a loss for us, again, a paper loss and you take a look at them today the price of Bitcoin has come up. Now the price is around CAD$59,500 or US$47,000, a difference of about $4.3 million. So, we have to realize that in our financials, we do have digital currency in them -- in there, which is primarily Bitcoin and that does fluctuate, but we are still bullish on Bitcoin. We think our investments in Bitcoin, as well as Bitcoin lending itself, looking forward is going to increase, especially with what's happening globally and how are markets developing over time. Second in terms of operations, I always speak about DMG. And again, if you saw me on Benzinga, I spoke about this for awhile. In two parts, and what I call Core and Core+, core is a Bitcoin mining section of our business; Core+ is our software business and done under the name of Blockseer. On the Core side, as we put it in the MD&A and as we announced on Twitter, we've had 800 miners arrive, that’s over the last couple of days. They've all been installed and are running. They are S19j pro Js, as well we have 2,100 more that have actually arrived into Vancouver, cleared customs and are on their way to Christina Lake right now with the addition of the miners that we put it on Monday, plus these ones, and our existing miners running. This should bring us to around 300, maybe a bit more, about 305 petahash of self-mining, which is a great, great increase from over in the past. We have purchased approximately 790 petahash, that we've disclosed in our different press releases. And, of course, we're always looking to new purchases that meet our ROI requirement to get us up to an available to exahash at the Christina Lake property. And just on the Christina Lake property, we've been busy building. We delivered a hundred power channels to Christina Lake over the last few weeks. 100 power channels runs about 1200, S19 miners. We have 200 more on their way up there. So, at 2,400 spots for S19 miners to go.  We are also aggressively looking at expanding beyond Christina Lake. I've mentioned this a few times. We have discussions on a few sites, where you're honing in onto one that we really like, having some engineering calls to see if the site will work. And so hopefully we can announce something in the coming weeks or months on expansion sites for DMG. And then I reported last quarter on immersion. I said, it's not moving as fast as we'd like, and it's not, mainly due to our supply chain. On the Benzinga conference, this came up on the panel as well. There is a real problem with supply chain for all crypto miners. We're not free of the supply chain issue, but we do still have plans to have a few megawatts up and running before the year's out and to continue moving on to full conversion of Christina Lake into immersion cooling the rest of this year and next year. On Core+, we do have some great news. Mara Pool is up over to exahash, which we're very excited about, and they're very busy on the pool side, expanding that pool. And I think Mara Pool plans on having some announcements about their plans that DMG will be happy to share with all of our shareholders as well. Terra Pool, it's pretty close to being launched with our partners, Argo -- Arco Blockchain. It's slipping a bit mainly just do the heavy schedules of DMG and Argo. As a partnership, there's a lot to do to put a pool up and I think we're pretty close to it. I know that on the IT side, our CTOs has been busy, spinning up all sorts of things that you need to do, or with Amazon and Google and so on and so forth. So, I think we'll have an announcement out on Terra Pool soon. And the demand for a clean energy pool is not waiting. They are people waiting to be able to join this pool. So, we're pretty excited about that, On BOSONIC, our investment into BOSONIC is going very well. We have a great relationship with them and some great news. They've been working hard with us on their layer to exchange. The exchange is now running on beta. So we can actually put in some test transactions of buying and selling Bitcoins. And so this is great. This is actually much more ahead of schedule than we planned. We were applying this sometime late this year or early next year. It looks like with the work BOSONIC has done that this will be launched publicly to all of our Blockseer users in a time period before the end of this year. We will have some technical challenges to overcome, that our teams are working on. And we have one marketing challenge in that is that we don't have a name for it. So we're busy trying to find a name for our pool -- sorry -- our exchange. So if anybody has any great names for a Blockseer exchange fire into Twitter and let us know, maybe we'll be able to give some merchandise out since we now have some DMG branded merchandise to whoever's name we pick. Brane, a great investment into Brane. We're very happy with them. They are working on the backend technology to secure our wallets, which are breeze and freeze. This one's not moved as fast as BOSONIC and we never expected BOSONIC to move as fast as it does. So, they were a little bit more behind on the Brane side. But again, our estimations were next quarter that we would be seeing wallets up and available to be used on the Blockseer platform. And then Petra, I'll have some more information on Petra around the end of this presentation, as some people have asked some questions on it, but this one is actually moved ahead as well. We've done our first Testnet transaction. In doing that transaction, we've encountered many engineering issues. The team is busily working on these issues. The progress is real. The technological challenges are real, but we have a very strong group of BTC core programmers working through these. And we're pretty excited about Petra already having its first Testnet transactions completed. This is a great sign. These Testnet transactions really help us understand how to properly put this technology together and then once it's together, we'll get more information on how we're going to market and sell this technology. And just keep in mind, everyone lifting that, DNG we're busy deploying our capital following our corporate development schedule as we've outlined in our use of proceeds from our previous financial raises. And if there's any questions on that, please contact investor relations. We'll be happy to have a call of any investors to go through our plan use of proceeds. So, from that, I just wanted to move over to the second part, which the discussion of the financial results. As I said, this hasn't been a great revenue quarter compared to previous quarters and compared to quarters coming up, which I'll get into. But it has been a great quarter from the fact that we have done some good deals with Brane and BOSONIC, and the projects have been moving forward quicker. So, it's been a really a Core+ quarter for us, perhaps next quarter be more of a Core quarter. We'll see which one wins that. So taking a look at our interim consolidated of financial position from June 30th, 2021 to June 30th, 2021, the nine-month review, you can see, and I just sort of go through a few of these different line items and try and give some highlights on -- any significant changes in the numbers. The first is cash. You could see nine months out, we were around a $1 million. We were up to $47.461 million. And again, a significant amount of this is due to our raise last quarter. And then we also have a $28.1 million raise with U.S. institutions in May, increasing our cash a little bit higher. As well, you can see that the amount in investments receivable, it's quite large, it's up around $4 million. Just so everybody's clear $3 million of that is our investment in the Brane. And $1 million of that is an undisclosed crypto exchange. I brought this up last quarter. We have invested into another crypto exchange, not just BOSONIC. The terms of that investment is that we are not allowed to disclose that investment until that crypto exchange goes public. So hopefully they finished their internal work and are able to go public soon. And I will be happy to disclose that crypto exchange as well as the reason why we invest in it and the technology that we are looking at, working with that exchange on. Digital currencies. Again, they went from $1 million to $11 million. They were $18 million last quarter. The inventory in mining coins is up 42 coins nine months about $1.1 million. But we do have this $4.6 million in BTC price depreciation. So -- which I talked about a bit earlier. This is the volatility in the Bitcoin price and just the timing or financials and the price of Bitcoin by the amount of Bitcoin we had versus as I said today which recovered immensely and there long than Bitcoin. And we believe we'll have a full recovery and appreciation in the coming months. Deposits on long-term assets, they're about $29 million, again, a large number. These are deposits we made on miners to be delivered. Some of them have now been delivered. So that number will come down as they're converted from deposits to actual assets. And then on current portion of loans payable, we only have one small promissory note outstanding. So we've done a good job of ensuring that we don't really have any loans out there. Getting into equity. Our share capital increased from $43 million to $92 million last quarter. Now this quarter up to $900.6 million. So, share capital is very strong. As I said earlier, we have very strong balance sheet. The majority of the quarterly increase is from this $2.81 million financing. As well, accumulated comprehensive income grows to $3.3 million. And again, this over the nine months is reflected the gain in the value of BTC. Overall, DMG's financial position in terms of assets again, it's increased up to $109 million up from a much smaller number -- sorry -- $108.5 million up from $21.5 million nine months ago.  And just a quick look at our consolidated statement of loss and comprehensive loss quarter-over-quarter, revenues decreased, mainly again, due to us -- what was the word asking hosting clients to leave and making room for our own self-mining. It takes a little bit of time to really steer the ship from a hosting or predominantly hosting to a self-mining. So there's going to be a little bit of a gap in there. However, as I said, next quarter, we believe we quite strong with our self-mining. Stock-based compensation has increased as well as we've been onboarding more people during the conference today. And you'll see this on our corporate slides. You'll see that there's many new people, both in operations, but also in the software side of the team. Net loss for the quarter of $8.4 million, again, support and to understand that this isn't so much a cash loss, $4.6 million of this is the value of the BTC decreasing on our balance sheet. $1.7 million is this a share base which is again not company cash, this is more paper. And I think that are -- that's mainly the things I wanted to talk about in the financial statements. If you take a quick look at the MD&A, I talked about this table last quarter. You'll see quarter-over-quarter comparison of our revenue, net income and comprehensive loss and the basic and diluted loss per share. So this -- last few quarters we have been decreasing our overall losses and we have been keeping our strength -- our revenue relatively strong considering that we made it through crypto winter. This last quarter, we have a large comprehensive loss. Again, as I've explained this as maybe mainly a paper loss, not an actual cash loss. The business itself is quite strong. The company is doing a quite strong, and we're really excited about next quarter. So, in the past, like I had said before, every quarter we had been reducing our net loss and decreasing it and we continue to do this. And I think that we'll see next quarter a much stronger quarter with the increase of our self-mining. And just to reiterate, DMG, we do believe in BTC, obviously we're a BTC company. We're mainly focused on BTC mining and software on BTC. And so, our investment into buying Bitcoin, mining Bitcoin, even though it's a very volatile commodity or asset or digital asset, whatever you want to call it. We're believers in BTC, and we are confident that over time, our investments in buying BTC and in mining BTC and holding BTC will pay off for all of our shareholders. And then just want to reiterate a couple more points. One, we are holding just over $47 million in cash. Obviously, it's great to have cash in the bank, however, it's better to use cash for things. So we're always looking at things we can do with our cash related to Bitcoin mining and/or around our Core+ software that will help us improve our performance. And as I've said, we have had a delivery and some new deliveries coming tomorrow. And the next few days of miners, this should bring us up to just over 300 petahash, 300 petahash just for those who don't watch Bitcoin price, or don't really equate petahash to Bitcoin or petahash to revenue. Every around 120 petahash is a Bitcoin a day and/or a $1 million a month. So we're looking with 300 petahash to be adding on around CAD$2.5 million to CAD$3 million per month, with 300 petahash of Bitcoin mining. Obviously, this is future looking. It depends on Bitcoin price, difficulty and things like that. But just as general guidance, this is going to be a significant increase to our revenue in Q4 and moving forward into the next financial year. Yeah. Look just some of the big things that are happening for DNG on the Core and Core+. Overall, the sector is very strong. If people are watching closely, you will have heard much about the movement of Asian miners in North America or Chinese miners into North America and other parts of the world with a crack down on Bitcoin mining in Asia. This has been great for every private public company in crypto, including DMG. There does continue to be a shortage of space in North America for mining. So, if you are somebody coming into North America from abroad, it's very hard to find hosting, or our facilities to purchase. If you are a North American miner, unlike the ones that we have been hosting that we let's go, it's also really hard to find space. And unfortunately, it's really made an impact on many people, but we believe it's been a positive impact because there's been a migration of a large amount of hash rate to North America. And this has been good for the industry and it's been really good for investors. There are also some delays that come with this, COVID plus shortages in manufacturing, all the shipment issues out of China, where a lot of suppliers come from having making delays for us and other players. And now there are recently some new regulatory issues in the U.S. being played out around what Bitcoin is, what Ethereum is and so on and so forth. In Canada, I don't follow the U.S. regulatory issues as closely. The Canadian issues I do. And so far, I'm quite comfortable with our Canadian regulatory system around crypto and crypto assets, crypto exchange, crypto taxations and so on. So just going back to our strategy. As I stated last quarter, we can't lean to continue investing in our mining operations. We are investing not only just in Christina Lake itself being filled out with our own self-mining, but we're also investing in Mine Management software, which is helping us run in a more efficient mind and helping us maintain a high hash rate. And we are investing in immersion cooling. As I mentioned at the beginning, it's not going as fast as we'd like, or hoping to find some ways to accelerate this and get our first few pods up and running in the next few months. As everyone knows, listen to me before we have done some testing on fluids on miners, done some power testing, so we're not starting from nothing. It's more about a manufacturing issue and a time issue to get it all put in and up and running. As well for the Core+, we continue to be resourcing and building out the blocks of your platforms. One goal of ours is to try and double our software again. We have 10 to 12 software programmers, depending if you look at them as full-time or as consultants. We'd like to get that number up significantly higher. We were very pleased with the process on Petra and that we've got test transaction done, and we're looking at ways that we can improve this technology and get it out and make it commercially viable. And we're very pleased with BOSONIC being ahead of schedule, which we were not expecting, and that we're able to start on their Testnet on the backend of our Blockseer interacting and doing test trials of buying and selling and moving Bitcoin and other crypto assets around. And the last point is Terra Pool has been a bit slower, as I explained than we were expecting. It's been a busy time for all crypto miners, many different things pulling us in different directions, but we are still moving forward with crypto -- sorry -- we're still moving forward Crypto Climate Accord and this pool, and we're a hundred percent behind it. And we're looking forward for the time when Oracle blockchain and DMG blockchain can both announce the successful launch of Terra Pool and start onboarding people who are believers in renewable energy and want to show this through their participation in Terra Pool. And so just to summarize, a nice chunk of our miners have arrived, putting us over 300 petahash. Our software is in full swing. We've got 10, 12 programmers in up from three or four we had a few months ago. We're still hiring more. And some of our software programs have moved ahead and schedule, which is great news. They knew would be released hopefully ahead of schedule as well, which will be great for new revenue coming into the company on the Core+ side. And that's my updates, trying to keep it to the 30, 40 minutes. I know there's some questions. Jules, do we have some questions?
A - Jules Abraham: Thank you, Sheldon. The company has received several questions from investors for today's call and we thank everyone for your interest, feedback and continued support to shareholders. Many of these questions were repetitive. And so, on today's call, we'll be addressing the most frequently asked questions. As a matter of policy and regulatory compliance, the company does not offer interim operational or financial updates, forward-looking guidance or capital market strategies, nor does it comment on performance of its shares in the market. So, with that, the first question is what is the status of DMG's miner orders?
Sheldon Bennett: Okay. I think I covered a lot of that, but just to reiterate some of it. DMG has purchased 7,850 S19j pro miners from Bitmain. The schedule of those deliveries started this month and we've received a large amount of them. As I had said earlier, we installed about 800 two days ago. We have just over 2,000 more to go with that are on their way to Christina Lake. So probably sometime end of this week or early Monday, Tuesday, we should be running around 300, 305 petahash with this delivery. That still leaves another over 3,000 miners, still to come. We're expecting deliveries of 450 miners a month for the next 11 months. So that will bring us up to and around 800 petahash. As I added into our MD&A, and as I talked a little bit before we did buy 2,915 S17 miners from another vendor. In the past they were being run for us in the location in the U.S. They turned out to not be very good miners. And under the terms of the contract, we returned 2,339 of them. We kept 576 of them that were actually real offering quite well. And we are in the process of having them moved up to Christina Lake -- on the Christina Lake under our management. And we do run about 800 older generation miners, sort of a mixture of S9s, S15, S17 just things that we have. And as we add on more petahash, we are twinning these older generation miners off. And then right now we've been storing them. Sometimes we sell them. It all depends on the price. And -- but currently we're just storing this miners and deciding what to do with them, pending some locations that we're looking at potentially tying up and expanding into. That's it Jules. That's my answer to that question.
Jules Abraham: Thanks, Sheldon. The next question is whether there's an update on immersion? What's going on with all the new minors that were shown to be wrecked air cool?
Sheldon Bennett: Okay. This must be around the pictures that we tweeted out the other day. So, as I said earlier on the immersion, it's a little bit slower. I said that last quarter as well, a little bit slower than we want, with the many things we're doing and the supply chain issues. But it is going ahead. Obviously, we're not going to leave brand new miners in a box when we can run them in air cool. Once we do get the emergent pods retrofitted and switched over to liquid cooling, obviously we'll be taking those fans off and putting them in and running them in immersion. So, again, it's not as fast as I want it, as fast as we hoped it would be, but we do have a great tank design and we do have that dry cooler issue sorted out with the manufacturings and the costs around it. And we do have a great fluid that we really liked that we've tested. And we've confirmed that there is available supply North America for it. So this is all really good news for us.
Jules Abraham: Next question. Will you be buying any more BTC, or will you unload the position once it's at a breakeven price?
Sheldon Bennett: That's a good question. We bought BTC, I think, around US$52,000 per coin. It went up to 65 or so before it retreated and went back down. It's been working its way back up. The management team, and we discussed this at the board as well. I mean, we are believers in Bitcoin. We're in the Bitcoin business. We're into supporting Bitcoin, buying Bitcoin at 52 and wants you to go to 65 was a great thing to see. And so, we're bullish on Bitcoin. We think it was a good buy. Obviously, it's volatile, and anything can happen. But watching the cycles overall long-term, it's a great investment. Many of you may or may not know I've had a few conversations with Michael Saylor about his Bitcoin strategy and what he's doing. And I'm a big believer in his position in Bitcoin, in Bitcoin mining. And if you don't believe in the technology of the blockchain, especially the Bitcoin blockchain, then I can understand why you question if we should be selling it, when we'd get our money back. But for us, I really think that when you look at what's happening globally, if you look at what's happening now and will be happening in inflation, and you look at how anti inflationary Bitcoin is and its growth and it's accepted. So I think it's a great investment and I think we'll continue to make more Bitcoins. When we buy more? I'm not too sure what we would do there. We may or may not depending on what happens with the market. But definitely, we did not plan on loading our position on Bitcoin when the price breaks even.
Jules Abraham: Thank you. The next question is the request for an update on what's happening with Terra Pool.
Sheldon Bennett: Okay. I think I kind of gave one earlier. Terra Pool is still on track. It's a bit slower. DMG have been very busy. We only have so many people per company I could do so much. And as you can see, we have a very full plate on the software side. So, Terra Pool is coming. Just be a good patient. And we're looking forward to launching it hopefully this month. I will continue to harass my CTO and I know that Peter over at Argo was harassing his as well.
Jules Abraham: The next question is, why you invested in Brane and BOSONIC rather than buying more miners.
Sheldon Bennett: So that's a good question. I mean, there's a few different reasons. One is, we have a vertically integrated company where we're both -- a core business of mining Bitcoin and a Core+ business of monetizing Bitcoin going through our software. And so we need to put money into both things and we need to figure out how to be successful in both Core and Core+. And another part to that -- to the answer on this one is the ROI on miners. As I've said in the past and I said this the last quarterly update, to get an ROI of 12 months or less at prices when Bitcoin miners are $85 to $100 a terahash, this is quite risky. And sometimes we just need to be a bit more patient with our capital and watch the market for good opportunities. And we did take a good opportunity. We did buy the 2,450 miners that we announced earlier. I think we got it at a price around $52 in terahash, so that's a great ROI. And those miners are actually the ones that have arrived. And we'll look at doing more purchases like that. And I think there'll be a lot of opportunities to continue to do purchases like that in the future. And when you look at Brane and BOSONIC, they are helping us on the technology side. So, we kind of look at our -- what we want to build, and we kind of look at it should -- what's the cost and time and effort to build it or to buy an apartment with somebody else. And so, when you look at both Brane and BOSONIC, it made a lot of sense for us to take an equity stake in both of these companies and do more of a partnership where in both of these companies, DMG took a board seat. So we can ensure that our investment in them is doing what it's supposed to do. And these companies are doing the things that they promised to do for DMG in the investment that we've made. And that, if not, both of these companies have plans to become liquid through some type of liquidity event on an exchange, which we're very supportive of. And so, we do have liquidity events if we're not doing what we want to do, or not kind of meeting the partnership that we're looking for. So, for us, we found ways to use our capital in both expediting the time to market for our products. And for what we see are companies that we think will grow in value, especially as they become public, are do things along the lines of becoming a public where the money we put in will be greater over time if we decided that we want to take it out in the future. So this is kind of why we decided to invest in Brane and BOSONIC and so the buying more miner. So, you have this issue of, the cost of miners on the ROI and access to them. And you have this side of building out the software side and this continuous transactions within our Core+ strategy that what we think is a low cost by partnering. And we have the ability to grow that capital through the success of these companies working with us.
Jules Abraham: Thank you. And this is the final of the most frequently asked questions. And it is, what is Petra in that you had put out a press release saying that it was in beta, but there needs to be a better understanding of what it is.
Sheldon Bennett: Okay. Yeah. I think there -- maybe there's some confusion on what Petra is. So, I'm going to try and say what is in a very simple way. So, Petra is a technology made for financial institutions that gives them the option to have all their Bitcoin transactions go into a specific pool that the financial institution selects. So if your bank, or any type of VC or anybody that has Bitcoin, any kind of companies, and not so much for people, it could be used by people when it's made for companies. So, if you're, you know, A bank, Bank of America or Goldman Sachs or Morgan Stanley, and if you want to have choice in the pool, that process of transactions between you and your counterparty, this is what Petra is made to do. And so, it doesn't sound too exciting. A lot of people are like, well, great. So we'll put, who cares, what people do is use. But when you overlay the corporate directives or the corporate responsibility, or the corporate guidelines around some of these large institutions, and you have some of them saying, they will only deal with renewable energy, or they are not willing or not able to deal with anything that has full fact issues. Then Petra becomes very interesting because DMG is busy creating a technology for what we believe is a capital market for Petra users. In the fact that operationally and regulatorily, these institutions will need a way to put their transactions into something that is the void of financial risk from an OFAC point of view and meets the guidelines of their strategies around carbon, carbon neutral, carbon policies in using renewable energy. And so, that's what Petra is. Petra is basically a software platform that we've created that will give institutions the ability to choose if it would like to use a pool with certain characteristics over other pools.
Jules Abraham: Yeah. No. That concludes the Q&A. Sheldon, do you have any closing remarks?
Sheldon Bennett: No. I just -- again, as I said before the Q&A, I think is important for our investors to understand that Q3 from a revenue point of view was not a strong revenue quarter. We're aware of that. We knew it may not be so strong as we were converting and sort of moving the ship from hosting and asking people to leave and make space for our own miners. Those miners have arrived and that add additional revenue is happening right now. We are getting much more Bitcoin per day than we have gotten in the last few quarters. And Q3 software really got into full swing. We had been speaking and talking about what we were going to do on Core+, and I think Q3 is showing that we are actually executing on this and we're doing this. We're putting the people in place. We're making the investments that are helping us move faster to bring products to market for revenue. And I think on both sides, Core and Core+, we're looking to have a very strong fourth quarter and definitely next financial year, as the miners come in and as we start converting software into revenue -- generating software. DMG is in a great position, strong balance sheet, great products, great mining assets. So, we're looking forward to the future.
Jules Abraham: Operator?
Operator: Thank you everyone. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect. Take care.